Operator: Good day ladies and gentlemen, and welcome to the Exelixis’ Second Quarter 2016 Financial Results Conference Call. My name is Brain, and I will be your operator for today. As a reminder, this call is being recorded for replay purposes. I would now like to turn the call over to your host for today, Ms. Susan Hubbart, Investor Relations. Please proceed.
Susan Hubbard: Thank you, Brian, and thank you all for joining us for the Exelixis’ second quarter 2016 financial results conference call. Joining me on today’s call are Mike Morrissey, our President and CEO; Chris Senner, our Chief Financial Officer; P.J. Haley, our Vice President of Commercial; and Gisela Schwab, our Chief Medical Officer who will together review our corporate, development, commercial and financial progress for the quarter ended July 1, 2016, as well as recent key development and corporate events. Peter Lamb, our Chief Scientific Officer is also with us and will participate in the question-and-answer session of this call. During the course of this presentation, we will be making forward-looking statements regarding future events and the future performance of the company. This includes statements about possible developments regarding clinical, regulatory, commercial, financial and strategic matters. Actual events or results could, of course, differ materially. We refer you to the documents Exelixis' files from time-to-time with the Securities and Exchange Commission, which under the heading Risk Factors identify important factors that could cause actual results to differ materially from those expressed by the company verbally and in writing today, including without limitation, risk and uncertainties related to product commercial success and market competition, regulatory review and approval processes, availability of data at the reference time, conducting clinical trials in compliance with applicable regulatory requirements. Exelixis’ dependence on its collaboration partners and ability to maintain its rights under existing collaborations, cost associated with commercialization research and development and any other activities and the sufficiency of Exelixis’s capital and other resources overtime. With that I will turn the call over to Mike.
Mike Morrissey: Alright thank you, Susan and thanks to everyone for joining us on the call today. We had a very eventful second quarter and I’ll start today with a brief overview of our key milestones from the last few months before turning the call over to Chris, P.J. and Gisela who will provide additional details on our Q2 financials, the CABOMETYX launch and our development activities respectively. The key milestones from the second quarter of 2016 includes first the FDA approval of CABOMETYX to treat patients with advanced renal cell carcinoma or RCC who have received prior anti-angiogenic therapy. Second, the well executed the initial phase of the CABOMETYX launch in the U.S., which resulted in the recording of the first sales of this new drug during the final nine weeks of Q2. Third, the presentation of 18 abstract featuring Exelixis’s compounds at ASCO, including noteworthy updates on the METEOR overall survival data and the cobimetinib, atezolizumab combination data in the cohort of advanced colorectal cancer patients. Fourth announcement of positive top-line results from CABOSUN the randomized Phase 2 trial of cabozantinib in patients with previously untreated advanced RCC demonstrating a statistically significant and clinically meaningful improvement in progression free survival compared with sonitinib in patients with intermediate or poor risk RCC. And finally fifth we announced just a little more than a week ago that we have continue to make progress with our partner Ipson on the regulatory review for CABOMETYX in Europe with the receipt of a positive opinion from CHMP, which will be reviewed by the European Commission in the coming months. Spend a few minutes providing a bit more color around the launch and initial sales numbers before passing the call over to Chris. Let me reiterate that executing a product launch is a challenging undertaking especially a small biotech company and I am very pleased by the way in which our entire team has pulled together under considerable time and competitive pressure to ensure that we initiated and will maintain a smooth and effective launch for CABOMETYX. Importantly, we were able to get commercial drug into the distribution chain and fill the first prescriptions for patients in just three days following FDA approval of CABOMETYX. Since then our sales team has been working hard to educate physicians about the CABOMETYX data and the prescribing information. Post approval, CABOMETYX generated $17.6 million in net product revenue during the final nine weeks of 2Q. Net product revenues for the second quarter of 2016, including sales of COMETRIQ were $31.6 million. We are encouraged by the strong initial uptake observed for CABOMETYX in the marketplace, which Chris and P.J. will discuss shortly in greater detail. We believe that these early CABOMETYX commercial results reflect the strength of the mid-year data and the compelling trifecta of benefit in three key efficacy endpoints, specifically overall survival, progression free survival and objective response rates in addition to the intense preparation that preceded the launch. It’s important to note that it’s still early days, so we’ll continue to be conservative in our view of the key components of the launch seen to-date. Due to the highly competitive dynamic in the advanced RCC indication we’ll also remain somewhat certain with respect to-date in the review of our detailed commercial strategy, tactics and key metrics for the CABOMETYX launch both here in our prepared remarks and in the Q&A commentary that will follow shortly. The entire team has been energized by the approval and launch of CABOMETYX and by the initial positive reaction it has received. As we commented previously our commercial and medical affairs teams are fully staffed, extensively trained and have been actively meeting with healthcare providers since approval. This is a very mature and motivated team that we believe will enable us to compete aggressively in the RCC marketplace, and build upon the initial momentum that we have achieved with CABOMETYX. As we outlined on the approval conference call, we expect to compete for every eligible advanced RCC patient, for every script, for every fill and refill on every single day based on the strength of the data in the CABOMETYX USPI and the experience, expertise and energy of our commercial team. So with that I’ll turn the call over to Chris.
Chris Senner: Thanks, Mike. Before I start I want to note that I’ll be speaking to the financial data referenced on slide 8 through 14 in our earnings presentation. These slides include comparisons to both the second quarter of 2015 and the first quarter of 2016 for your reference. Net revenues for the quarter ended June 30, 2016 were $36.3 million compared to $8 million for the comparable period in 2015. Net revenues for the second quarter of 2016 includes $31.6 million of net product revenue compared to $8 million for the comparable period in 2015. Product revenues for CABOMETYX and COMETRIQ are both recognized using the sell-in method of revenue recognition. The increase in net product revenues for the three months ended June 30, 2016 as compared to the same period in 2015 reflects the impact of the commercial launch of CABOMETYX, as well as the increase in the COMETRIQ revenues. Net product revenues for CABOMETYX and COMETRIQ were $17.6 million and $14 million respectively for the quarter ended June 30, 2016. Net product revenues during the quarter were impacted by approximately $6.5 million to $7 million related to channel inventory build during the initial launch period for CABOMETYX. Net revenues for the quarter ended June 30, 2016 also includes $3.6 million of license revenues recognized from the upfront payment we received from Ipson under our collaboration and license agreement and $1 million of royalty on ex-U.S. net sales of COTELLIC. We recognized COTELLIC royalty revenue on a one quarter lag and consequently the COTELLIC royalty revenue for the quarter ended June 30, 2016 relate ferocious first quarter 2016 ex-U.S. COTELLIC net revenue. No such royalty or license revenue during the comparable period in 2015. Research and development expenses for the quarter ended June 30, 2016 were $23 million compared to $24.5 million for the comparable period of 2015. The decrease was primarily related to a decrease in clinical trial cost and the allocation of general corporate cost. Those decreases were partially offset by increases in personnel related expenses resulting from an increase in headcount predominately associated with the build out of our Medical Science Liaison organization and an increase in consulting an outside services. Selling, general, administrative expenses for the quarter ended June 30, 2016 were $35.8 million compared to $12.8 million for the comparable period in 2015. The increase was primarily related to an increase in personnel related expenses resulting from an increase in headcount, predominately connected to the expansion of our U.S. salesforce and outside services expenses supporting the commercialization and launch of CABOMETYX. Other income and expense net for the quarter ended June 30, 2016 was a net expense of $11.9 million compared to $12.1 million for the comparable period in 2015. The net expense is comprised primarily of interest expense, which includes $7.4 million of non-cash expense related to the accretion of the discounts on both the 4.25% Convertible Senior Subordinated Notes due 2019 and the company’s indebtedness under our Secured Convertible Notes due in 2018 held by entities associated with Deerfield for the quarter ended June 30, 2016, as compared to $7.2 million for the comparable period in 2015. Net loss for the quarter ended June 30, 2016 was $37 million or $0.16 per share compared to $43.4 million or $0.22 per share for the comparable period in 2015. The decreased net loss for the quarter was primarily due to an increase in net revenues and a decrease in research and development expenses, which were partially offset by an increase in selling, general and administrative expenses. Now turning to our financial guidance for 2016. We are refining our previously provided guidance. Total operating expenses for the full year will be between $250 million and $270 million. This guidance includes approximately $30 million of non-cash cost and expenses related primarily to stock-based compensation expense. And with regards to our cash in 2016 at June 30, 2016 we had cash and cash equivalents, short and long term investments and long-term restricted cash and investments totaling $384 million. As we outlined in our previous earnings calls we will not be providing cash guidance for this year because we are in the midst of a dynamic launch of CABOMETYX, which makes it extremely difficult to predict our final year end cash position. With the cash we had at the start of the year, the upfront payment and anticipated EU approval and launch milestones from Epsen, growing revenue from product sales and continued expense management. We expect that we will be in a very healthy cash position at year end. We look forward to updating you with our revenue and overall financial performance over the course of this year. And with that I’ll turn the call over to P.J.
P.J. Haley: Thank you, Chris. We are very encouraged with the initial launch phase of CABOMETYX. Our commercial organization was fully enabled, trained and ready to go at the time of approval in April and sales team immediately began calling our customers including oncologists, nurses, physician assistance and pharmacist. Given the fortuitous timing Exelixis had a robust promotional presence at ASCO and we are able to maximize the opportunity of the conference to educate a significant number of physicians METEOR data, for which there was a high level of interest. Since approval CABOMETYX is experiencing rapid and broad uptake in the marketplace. Although it is early in the launch we are seeing encouraging trends in prescriber adoption. Approximately 75% of prescribers are new to CABOMETYX in the sense that they hadn’t previously written COMETRIQ. The rapid new prescriber adoption that we are seeing appears to confirm our conviction that CABOMETYX addresses a significant unmet medical need in advanced renal cell carcinoma. In fact the feedback we are hearing from our customers regarding the METEOR year and the trifecta of improvement in the efficacy endpoints of overall survival, progression free survival and objective response rate is positive and encouraging this is leading to adoption trends across various segments of the market, including both the academic and community prescribers. It is important to note that we are seeing strong uptake of CABOMETYX across both the second and third line settings. I will now turn to market access, our channel is fully functioning shortly after approval and we are encouraged that all our channel partners have begun reordering on a regular basis. On the payer front our team has had productive conversations with our target payers representing the vast majority of covered lives. Similar to physician feedback payer feedback has been positive based on the clinical value of the METEOR data. As anticipated there have not been any significant challenges securing coverage and getting appropriate patients on therapy. While it is still early days, patients have started receiving refills of CABOMETYX. Ensuing every eligible patient receives therapy is extremely important to us. The Exelixis access services or ease program is designed to be best in class and is functioning well to ensure that all eligible patients receive CABOMETYX therapy. Now I would like to turn to the dynamics of COMETRIQ business. On our Q1 we described the increase in new patient starts and prescriber adoption for COMETRIQ in RCC. This trend continued in Q2 until the approval of CABOMETYX. Since then we have observed two important trends in the utilization of COMETRIQ in RCC. First, very few RCC patients’ new therapy are being prescribed COMETRIQ as they are now being prescribed CABOMETYX. Also the majority of patients receiving COMETRIQ for RCC continue to receive refills of COMETRIQ, with a small number switching to CABOMETYX. Given this trend we expect COMETRIQ revenue to gradually decline overtime as RCC patients come off of COMETRIQ therapy, while new patients initiate therapy with CABOMETYX. COMETRIQ demand in medullary thyroid cancer remained stable as it has been for several quarters. While the launch of CABOMETYX is off to an encouraging start there are significant approximately opportunity remaining in the U.S. market where there are approximately 17,000 previously treated patients with advanced RCC. Our deeply experienced commercial team is executing at a high level on our launch plans in this competitive market, as they work to ensure appropriate patients with advanced RCC have the opportunity to benefit from CABOMETYX. I would like to thank the entire commercial team and particularly the sales force for their tireless efforts and dedication. We continue to be motivated to compete in this dynamic market to bring CABOMETYX to every eligible patient as we build on the positive momentum of our launch. And now I will turn the call over to Gisela.
Gisela Schwab: Thank you, P.J. I will focus today on a brief regulatory update for CABOMETYX in advanced RCC, I will then speak about recent top-line data from a randomized Phase 2 trial in the first line therapy of RCC and I will also provide an update on our other ongoing trials for cabozantinib. Before that I would like to comment on the recent ASCO meeting in early June. 18 presentations featured results from studies of Exelixis discovered compounds of this contract, most notable was the oral presentation by Dr. Toni Choueiri of the overall survival results from METEOR showing a highly statistically significant and clinically meaningful improvement and overall survival for cabozantinib as compared with everolimus. These results were also concurrently published in the Lancet Oncology [ph]. Other presentations on cabozantinib focused on important subset analysis from METEOR, as well as Phase 2 data from studies in bladder cancer and endometrial cancer performed by our collaborator in the NCI­CTEP program. Cobimetinib the Exelisis discovered MEK inhibitor that is being developed by our partner Genentech was also featured in multiple presentations. Most notable were the results from a Phase 1b study of cobimetinib and atezolizumab the PD-L1 antibody in previously treated patients with advanced colorectal cancer. This study showed anti-tumor activity with a 17% objective response rate and tolerability of the combination. And these data provided the basis for the now ongoing Phase 3 study COTEZO of cobimetinib combined with atezolizumab or atezolizumab alone versus regorafenib in the third line treatment setting of colorectal cancer patients. Now I’d like to turn to a brief regulatory update for CABOMETYX. We have filed the NDA for CABOMETYX in December of 2015 with the FDA and in January of 2016 we filed the MAA with the European Medicines Agency or EMA. EMA granted CABOMETYX accelerated review status and we have recently announced that our partner Ipson was notified of a positive opinion from CHMP recommending approval of CABOMETYX to the European commission, who will make the ultimate decision. We are very pleased that this milestone was achieved within the time foreseen for an accelerated review. With that we expect regulatory approval for CABOMETYX in the EU in the September timeframe. And our partner Ipson is actively preparing for launch of CABOMETYX in Europe. Let me now turn to the development of cabozantinib and other indications. Our ongoing Phase 3 study in the second line treatment of hepatocellular cancer or HCC continues to accrue patients globally. The trail called celestial is a randomized placebo controlled study evaluating cabozantinib versus placebo in patients with advanced HCC who have received prior sorafinib. The primary endpoint of the trial is overall survival. We continue to expect results for this study in the 2017 timeframe. Additionally to our in-house development efforts our ongoing investigator sponsored trial or IST program and the CTEP program stand a total of 45 planned or ongoing trials. These include randomized Phase 2 trials as well as single agent studies and combination studies with targeted agents as well as immune checkpoint inhibitors in a variety of indications. Importantly, this recently announced positive top-line results for a randomized Phase 3 study in the first line setting of advanced RCC that is ongoing in the cooperative group the alliance under the CTEP IND. The CABOSUN trial compares cabozantinib versus sunitinib in first line therapy of intermediate or poor risk patients for the standard risk classification. The primary endpoint of the trial is progression free survival. The study recently met its primary endpoint of significantly improving progressing free survival with cabozantinib as compared to the current standard of care in this setting sunitinib. This is the first time any agent has outperformed sunitinib in its key indication of first line RCC. And we are very pleased with these results. These initiated dialog with regulatory agencies about these results to determine the potential for regulatory filings and next steps in the development of cabozantinib in the treatment of first line RCC. We will share more definitive information on the regulatory and development path when available. We are actively working with the alliance to access all data from the trial and expect CABOSUN results to be presented at a medical conference later this year. In addition our CTEP collaborators are conducting a Phase 1b study evaluating the combination of cabozantinib plus nivolumab with or without ipilimumab in patients with genitourinary cancers including RCC. This study was opened for enrollment in July 2015 and continues to actively accrue patients. Data on the tolerability and anti-tumor activity of the combinations studied in this early phase trial could set the stage for later phase evaluation not only in the genitourinary setting including RCC and bladder cancer, but in other areas as well, like non-small cell lung cancer and histologies that appear sensitive to both agents. And lastly at the upcoming ASMO conference in early October 2016 in Copenhagen we anticipated presentation of various data sets. To-date we have been informed about 6 accepted presentations for cabozantinib, including further METEOR subset analysis, the quality of life analysis from METEOR and a trial designed presentation. Additionally there are presentations of a single agent cabozantinib bladder cancer study and the just mentioned combination Phase Ib study of cabozantinib and nivolumab in genitourinary tumors. Also there will be 7 presentations for cabozantinib including a Phase 1b trial of cobimetinib in combination with vemurafenib and atezolizumab in melenoma. And with that I’ll hand the call back to Mike.
Mike Morrissey: Alright. Thank you, Gisela. In closing we could not be more pleased with our progress thus far in 2016 and remain focused on the opportunities and significant milestones that are ahead of us. The Exelixis team consistently demonstrates our passion, work ethic and commitment to helping patients with cancer whether that is to further development of our compounds in areas of unmet medical needs or by ensuring there are no barriers for patients who could potentially benefit from access to our medicines. This quarter’s achievements and financial results represent an important milestone for the company and our goal to drive the business to positive cash flow is more tangible than ever. Future financial success, would give us the opportunity to invest in our business, reinvigorate our organic research efforts, as well as potentially in license and/or acquire compounds were appropriate. We are fully committed to this vision while maintaining a strong sense of disciplined expense management where new R&D initiatives are aligned with robust growth in product revenues. We look forward to updating you on our progress as we go forward. Thank you for your continued support and interest in Exelixis. And we are happy to now open the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Eric Schmidt with Cowen & Company. Please proceed.
Eric Schmidt: Hello, good afternoon and congrats on a great start with CABOMETYX. Maybe just on the launch P.J. it looks like if I do the math subtracting out the inventory filled, but adding back some of the sales that you got on the COMETRIQ side the total RCC sales numbers maybe somewhere in the $15 million to $20 million range for the quarter just maybe if you could confirm that. And then two, is there any evidence that that’s a bolus of any sort or that we shouldn’t expect continued growth of that figure?
Chris Senner: Hi, Eric. Thanks for the question. It’s Chris. So I guess I mean I think you are in the right ballpark $15 million to $20 million is around -- is about that number and referring to the bolus I mean you could expect a bolus. But in our instance since we had COMETRIQ out there previously We don’t think there was any bolus of patients waiting for product. They had the ability to be treated on COMETRIQ prior to the launch of CABOMETYX.
Eric Schmidt: Okay. And then maybe for Gisela, just couple of trial questions first, as the interim analysis of the Celestro HCC study occurred yet and it's not what you have let us know when you are planning or when that might happen.
Gisela Schwab: Eric, what we’ve communicated is that the studies accruing globally and continues to do so. We are expecting results from the study in 2017. There are two interim analysis build into the trial at 50% and 75% rate of the event and we will inform when we have achieved such milestone. So we haven’t guided on the timing around that.
Eric Schmidt: So you haven’t achieved 50% of the events yet, is that correct?
Gisela Schwab: We haven’t guided on the timing of the interim analysis so.
Eric Schmidt: But you would have told us that you achieve 50% of the events taken the interim.
Mike Morrissey: Hey Eric it’s Mike. When we do the interim we will be transparent about the results in some formats so stay tuned.
Eric Schmidt: Okay, thanks. And just a couple of quick ones then is there a timeline for when we might hear back from the FDA on potential filing strategy around CABOSUN and also a timeline for data from the -- I know it’s not your trial but a CTEP trial that [indiscernible] plus CABO trial in genitourinary cancers.
Gisela Schwab: Yeah this is Gisela. We have initiated the dialog with regulatory agencies regarding the CABOSUN results and potential path forward towards a filing strategy and further development and first line setting of RCC. As soon as we have more definitive information we will certainly make that available. At the current time these are ongoing conversation. So also working with the alliance to access the data and we’re expecting the full results to be presented later in the year. And regarding the combination study as I mentioned the combination of cabozantinib plus nivolumab plus minus ipilimumab is expected to be presented at the upcoming ASMO conferences. So that will be the next public occasion if you will for the study.
Eric Schmidt: Thanks and congrats again.
Gisela Schwab: Thanks, Eric.
Operator: Thank you. Our next question comes from the line of Steven Willey with Stifel. Please proceed.
Steven Willey: Yeah, thanks for taking the questions and congratulations on great start. I guess one question maybe to follow-up on the prior with respect to CABOSUN and regarding your characterization of what’s occurring now in terms of just being in dialog with FDA. I think you’re also talking about the potential development path forward. So just wondering if you can confirm whether or not that may or may not include confirmatory study or if you would perhaps think about expanding the development program to perhaps look at something like CABOMETYX against maybe [indiscernible] within poor risk patients specifically.
Gisela Schwab: Yeah as I said earlier we have initiated the dialog that is around obviously the CABOSUN results. And as we achieved more results later in the year that are then also going to be public this will be further discussed. I think in terms of the development strategy, I think it’s a little bit premature to comment at this current time, but certainly working through a number of scenarios and I think as soon as we have arrived to the conclusion and from path forward we will communicate that.
Steven Willey: Understood. And then just maybe with respect to some of the tractions that you’re seeing thus far in the market I think Pfizer just recently reported but look to be about a near 20% decline of in light of sales within the U.S. So just curious if you’re seeing any strength specifically in either maybe second or third line or dose uptake between the two lines of therapy appear to be pretty equivalent at this point.
Mike Morrissey: Yeah thanks for the question. With regards to second and third line we’re very pleased to be seeing a strong uptake in both settings. So we’re happy with that. Additionally I’d say we’re very pleased to see uptake in adoption across position segments, really including community oncologists, KOLs and academic oncologists. And we’re also seeing significant uptake in new prescribers, 75% of those who wrote CABOMETYX last quarter were actually new to the brand in the sense that they hadn’t written COMETRIQ previously. So we’re seeing a significant number of positive trends that we’re really excited about.
Steven Willey: Understood. And maybe just one final question for Gisela. Just do you have any insight as to whether or not the [indiscernible] CABO data that’s going to be presented later this year may also include biopsy data?
Gisela Schwab: So in the trial protocol there are number of translational endpoints built in and we’ll see at the ASMO conference whether that can be addressed, so it will also be addressed in the presentation. At this current time we don’t have that information.
Steven Willey: Okay, thanks for taking the questions.
Gisela Schwab: Thank you, Steve.
Operator: Thank you. [Operator Instructions]. Our next question comes from the Michael Schmidt - Leerink Partners. Please proceed.
Michael Schmidt: Hey, guys thanks for taking my questions and also congrats to great CABO launch in RCC. And thanks for the details provided around some of the metrics. I had a couple of follow ups. So the metric tick up in sales, is it fair to assume that most or all of this is due to RCC demand as oppose to inventory buildup for COMETRIQ?
Chris Senner: Yeah hey Michael its Chris so as P.J. stated I mean we see the MTC demand being stable. So you can infer from that that the RCC demand continues to be there and support the product. We don’t -- we didn’t see an increase in inventory that was any material amount.
Michael Schmidt: Okay. And for CABOMETYX would you expect additional inventory build in the third quarter?
Chris Senner: We're not providing guidance on that, but I mean I think there is enough inventory in there that we wouldn’t expect that.
Michael Schmidt: Sounds good. And in terms of gross to net for CABOMETYX here in the launch do you have any color on that?
Chris Senner: So not specifically on CABOMETYX, but overall our gross to net is in the 10% range and we’ve actually detailed that in our 10-Q. And so that’s what we estimated and that’s what we experienced in the second quarter.
Michael Schmidt: Great thanks. And then I noticed you have a fairly large balance for NOL carry forwards in terms of just of tax forecast and just wondering how much of that you could potentially realize and then when those expire?
Chris Senner: Off the top of my head I think they start to expire in the 2018-2019 range and they go out I think the 2030 range. And the NOLs are just north of $1.3 billion. So we can start utilizing them when we become profitable and we’ll continue to be utilize them as we are profitable.
Michael Schmidt: Thanks. And then one last question, in your agreements, partnership agreements with Roche and Ipson are there any major change in control provisions that could be important?
Chris Senner: Michael this is Chris. So there is nothing there is no major change in control provision that are important.
Michael Schmidt: Great, thanks so much and congrats on a great launch.
Gisela Schwab: Thanks, Michael.
Operator: Thank you. We have follow-up questions from the line of Steven Willey with Stifel. Please proceed.
Steven Willey : Yeah just taking the follow-up. I was just curious if you could tell us what percentage of SG&A this quarter reflects the net loss coming out of the COTELLIC co-promote? And then another question I guess as you think about atezo and COTELLIC moving through Phase 3 and potentially securing a label in colorectal. Just wondering I guess how the additional staffing in terms of co-promoting the colorectal opportunity would occur in terms of the commitment of resources on the Exelixis side? Thanks.
Mike Morrissey: Yeah Steve it’s Mike why don’t we have Chris take the first part and I'll take the second part okay?
Chris Senner: So Steve yeah this is Steve, the COTELLIC loss for the quarter was just around $3 million and that’s what’s running through SG&A.
Mike Morrissey: Good. In terms of future possibilities about commercializing COTELLIC and other indications. Certainly you’ve highlighted one of the key indications that was noteworthy at ASCO generate a lot of interest both when it was presented and afterwards in terms of the atezo, COBI combination in late-line CRC. But there is others too as well that are moving along. So it’s very important asset to us and one that we would like to be able to participate in going forward obviously. From the standpoint of how the commercial expenses and headcount would scale in the future. It’s really hard to speculate on that right now and I certainly wouldn’t want to speak ahead of data and ahead of any kind of clinical and regulatory success. But we are watching it very closely and we are excited about the activity that we've seen to-date and looking forward to see more as we go forward.
Steven Willey : Alright. I appreciate the follow up. Thanks.
Mike Morrissey: Yes.
Operator: Thank you. At this time there are no further questions. And so I would turn the call over to today’s host Susan Hubbard. Ms. Hubbard.
Susan Hubbard: Thanks, Brian and thank you all for joining us today. We welcome your follow-up calls with any additional questions you may have that we were unable to address on today's call.
Operator: Thank you. Ladies and gentlemen this does conclude today’s program and you may all disconnect. Everybody have a good day.